Operator: Thank you for standing by.  Welcome to the Super Micro Computer, Incorporated Second Quarter Fiscal 2012 conference call.  The company’s new release, issued earlier today, is available from it’s website at www.supermicro.com. In addition, during today’s call, the company will refer to a slide presentation that it has made available to participants, which can be accessed it a downloadable .pdf format on its website at www.supermicro.com in the Investor Relations section under the Events and Presentation tab.  (Operator Instructions). As a reminder, this call is being recorded, Tuesday, January 24th, 2012.  A replay of the call will be accessible until midnight, February 7th, by dialing 1-877-870-5176 and answering conference ID number 4396394.  International callers should dial 1-858-384-5517. With us today are Charles Liang, Chairman and Chief Executive Officer; Howard Hideshima, Chief Financial Officer and Perry Hayes, Senior Vice President, Investor relations. And now, I would like to turn the conference over to Mr. Hayes.  Please go ahead, sir.
Perry Hayes: Good afternoon, and thank you for attending Super Micro’s conference call and financial results for the second quarter fiscal year 2012, which ended December 31, 2011. Before we begin, I’d like to advise you of upcoming investor conferences in which Super Micro will be participating.  On February 11th, we will attend the Stifel Nicolaus Technology and Telecom Conference in Dana Point, California where we will present and participate in one-on-one meetings. By now, you should have received a copy of today’s news release that was distributed at the close of regular trading and is available on the company’s website.  As a reminder, during today’s call, the company will refer to a presentation that is available to participants in the Investor Relations section of the company’s website under the Events and Presentation tab. Please turn to Slide 2. Before we start, I’ll remind you that our remarks include forward-looking statements.  There are a number of risk factors that could cause Super Micro’s future results to differ materially from our expectations.  You can learn more about these risks in the press release issued earlier this afternoon, our form 10-K for Fiscal 2011, and other SEC filings.  All of those documents are available from the investor relations page of Super Micro’s website at www.supermicro.com. We assume no obligation to update any forward looking statements. Most of today’s presentation will refer to non-GAAP financial results and outlooks.  For an explanation of our non-GAAP financial measures, please refer to Slide 3 of this presentation or to our press release published earlier today. In addition, a reconciliation of GAAP to non-GAAP results is contained in today’s press release and in the supplemental information attached to today’s presentation. I’ll now turn the call over to Charles Liang, Chairman and Chief Executive Officer.
Charles Liang: Thank you, Perry, and good afternoon everyone.  Please turn to Slide 4. First, let me provide you with the highlights of our second quarter.  The second quarter revenue was 249 million, or 0.8% higher than last quarter, and is 3.8% higher year over year. Non-GAAP income was 11.2 million, or 6.5% higher quarter over quarter and 16.3% lower compared to last year. [Inaudible] non-GAAP earning per share was $0.25 per share compared to $0.74 last quarter or $0.31 last year. Slide 5 please. The [inaudible] and [inaudible] order for our process was strong in the December quarter and at the same time, the December quarter was challenged mainly due to the flooding in Thailand.  That affected our [inaudible] supply chain.  As a result, we weren’t able to fulfill customer’s demand due to delay of hard drivers. Where we have some hard driver stock at a beginning of a quarter, our sales for hard driver orders aren’t able to fulfill our need and – when we reach the end of the quarter. In the beginning of the new quarter, I mean, the March quarter, the situation, however, had improved a little on recovering of hard driver supply.  But it is not expected that the hard driver supply will quickly be sent to a normal space in this quarter. Again, the demand for our product is even stronger as we enter this quarter and we had strong backlog of orders that would depend on hard drives.  We are working through this order as the hard driver quantity becomes more available in the near future. In the December quarter, we did a good job of receiving our exceeding our [inaudible] line, Sandy Bridge, [inaudible].  We had many high-volume customers and various interests in evaluation of our new Sandy Bridge space called [inaudible]. This quarter, we are continuing with this deployment to burden our earnings of our revenues to supply the new product sooner to the official launch [inaudible]. From that, the outcome [inaudible] this quarter, the United States accounts for 56.7% of revenue.  Europe was 23% and Asia was 18%.  Sequentially, the U.S. and Europe were each – Europe [inaudible] lower where Asia was 2.3% higher. On a year-over-year base, we are pleased to see the continued growth in our Asia business, which was 2.2% higher. Also, in spite of the headwinds with the Europe debt crisis, our Europe [inaudible] was 4.2% higher than last year. Last quarter, OME and Direct customers account for over 44.2% of revenue and Internet Data Center was 9.7% of total revenue.  As a result, a strong OEM and Direct business. System sale was also – continued to be a strong and account for over 44% of sales. I mentioned earlier about [inaudible] and sampling activity of our Sandy Bridge Solution from that quarter.  They are made possible by investing heavily in R&D to meet that technical challenge on the new [inaudible]. We had approximately 15% more engineers to our R&D group in the past two quarters as we have said before.  It seems very important to keep investing in our engineering staff in order to maintain our time to market advantage and maintain strong [inaudible] technology and innovation. Let me emphasize again, that TTM, time to market, and innovation are essential to our growth and possibility. While our new Sandy Bridge Solution [inaudible] for customer, out based the performance as a lower power consumption, sort of in the complexity of a new platform that requires strong engineering skills.  Sandy Bridge [inaudible] will provide a unique opportunity for Super Micro to demonstrate the power of it’s engineering advantage. I would like to provide you with an update on our capacity expansion.  Last quarter, we complete our Taiwan facility and again, [inaudible] production line and moving in some of our people.  On January 6th, we hosted a grand opening event that was attended by high-level government officials including a Vice President of Taiwan We expect to have a production [inaudible] of (29) during this quarter.  This is really a remarkable achievement in our effort to improve the logistical location of Super Micro, which will lead to lower production and logistics [inaudible]. In addition, it will allow us to grow more quickly in Asia as well as in Europe as [inaudible] to the company and to our customers. Regarding our current group of [inaudible].  Storage and blades grew stronger year over year.  Direct Solutions and GPU remains strong but a little bit weaker sequentially Our recently launched new products such as Networking Switch, MicroCloud and the 8-way server continue to grow steady. However, the story of 2012 in our industry will be a technology decision to Sandy Bridge.  Given the increased performance and best power consumption, the customer will be able to improve their PCO and ROI from IT investment by adopting Sandy Bridge. We expect that [inaudible] will be strong because it’s in three [inaudible].  [Inaudible] major technology solution. As I mentioned before, Super Micro has invested very heavily if R&D to be able to have the broadest array of Sandy Bridge choice to offer to the market.  Most of our current systems and storage architecture will undergo that Sandy Bridge to get a performance boost. In addition, we will have an exciting year architecture of creation that will be introduced at the end of this quarter, which will further optimize our Sandy Bridge product line. Let me now update you with more detail on our new and leading technologies.  Slide 7 and 8.  Our next X9 Sandy Bridge DP solution are in the simple stage now with targeted  this much for high-volume product release.  We will update our interest in [inaudible] and introduce new architecture such as WIO.  The next X9 performs such features such as additional memory, higher PCIE critical performance and bandwidth; a much better CPU overall performance while consumed best power.  Most of the new system, will also feature that new-generation high-efficient [inaudible] that can reach more than 94% efficiency in both light and heavy loaded. The other [inaudible] solutions that are being featured in our X9 service [inaudible] is the high-temperature operation capability.  This solution will make free-air cooling become easier and help the customer achieve a PUE of 1.1 or even better. Our [inaudible] Interlagos Solutions are in mass production now.  It is over 16 [inaudible] per CPU and the product is 1,600 [inaudible] memory seat, which had proven very popular amount IPC and other applications. Our GPT optimized product lines, 1U, 2U, 4U and they perform – and [inaudible] provider extreme performance in calculation of high-density applications and have been the most popular GPU server in the market while continuing the omentum of leading the market.  Our [inaudible] the recommended GPU include 3 one new 4U GPU and 2U/6GPU and are in high-volume production now. Our embedded server line featuring low power, low noise and [inaudible] optimized for special server applications and IPC applications.  This new product line brings us additional revenue from the new market segments. Also, our new workstation product line features a new workstation with a high efficiency super-quiet power supply and high –performance IO support.  Our new specialized workstation product line to support an ever-rest processer [inaudible] optimizes [inaudible] high frequency of certain applications. Our Cloud environment optimizer [inaudible] 1U, 10G switch have been in high-volume production.  Our 10G and (284) and (48) [inaudible] and SLP product and [inaudible] for [inaudible] and sent out.  We will be ready for production soon and [inaudible] in term of performance and cost. Our new MicroCloud [inaudible] is in high-volume production now.  The first of which is 3U in conjunction with a UP node.  Its high-density and high-efficiency design makes it an optimized solution for hosting and car applications in an extremely low-power consumption combination. Our computer rack solution has been a success for [inaudible].  With our increasing engineering and expertise and long hour [inaudible] quality control, the [inaudible] will compete a rack providing the customer of [inaudible] of power-on convenience in a trouble-free unit.  We are expecting faster growth of our computer rack solution unit in the near future. For more specific detail on that second quarter, let me turn it over to Howard Hideshima.  I will focus my remarks on earnings, growth margins, operating expenses and similar items on an non-GAAP basis, which reflects adjustments that include stock compensation and expenses. Reconciliation of GAAP to non GAAP is included in the financial statements of the company’s – in today’s earnings release and in the supplemental detail in the slide presentation accompanying the conference call. Let me begin with the review of the second quarter second quarters income.  Please turn to Slide 8. Revenue was $249.9 million, up 3.8% from the same quarter a year ago and up 0.8% sequentially.  The increase in revenue from last year was primarily due to Server Solutions, which incorporated out growing storage and blade product lines as well as the ramp of our full rack solutions. The sequential increase in revenue from last quarter was primarily due to the growth in our server solutions such as Blade and our new MicroCloud Solution, also in part by shortages in hard disk drives caused by the Thailand flood. Our percentage basis, Blade and MicroCloud were the fastest growing product lines from the prior quarter. Slide 9.  Turning to product mix, a portion of revenues from server systems was 44%, which was an increase from 40.5% a year ago and from 39.4% last quarter.  ESP for servers was $1,800 per unit which is up from $1,600 last year and up from $1,700 last quarter. We shipped approximately 62,000 servers in the second quarter and 998,000 subsystems and accessories.  We continue to maintain a diverse revenue base with over 500 customers, without any of these customers representing more than 10% of our quarterly revenue. Internet Data Center revenue was 5.7%, which was an increase of 9.2% in the prior quarter. Furthermore, 56.7% of our revenues came from the U.S. and 55.8% from our distributors and resellers. Slide 10 and 11.  Non-GAAP gross profit was 42.8 million, up 6.1% from 40.4 million in the same quarter of last year and up 7.5% from 39.8 million sequentially.  On a percentage basis, gross margin was 17.1% up from 16.8% a year ago and up from 16.1% sequentially. Price changes from
Howard Hideshima: Thank you, Charles.  Good afternoon everyone. I will focus my remarks on earnings, growth margins, operating expenses and similar items on an non-GAAP basis, which reflects adjustments that include stock compensation and expenses. Reconciliation of GAAP to non GAAP is included in the financial statements of the company’s – in today’s earnings release and in the supplemental detail in the slide presentation accompanying the conference call. Let me begin with the review of the second quarter second quarters income.  Please turn to Slide 8. Revenue was $249.9 million, up 3.8% from the same quarter a year ago and up 0.8% sequentially.  The increase in revenue from last year was primarily due to Server Solutions, which incorporated out growing storage and blade product lines as well as the ramp of our full rack solutions. The sequential increase in revenue from last quarter was primarily due to the growth in our server solutions such as Blade and our new MicroCloud Solution, also in part by shortages in hard disk drives caused by the Thailand flood. Our percentage basis, Blade and MicroCloud were the fastest growing product lines from the prior quarter. Slide 9.  Turning to product mix, a portion of revenues from server systems was 44%, which was an increase from 40.5% a year ago and from 39.4% last quarter.  ESP for servers was $1,800 per unit which is up from $1,600 last year and up from $1,700 last quarter. We shipped approximately 62,000 servers in the second quarter and 998,000 subsystems and accessories.  We continue to maintain a diverse revenue base with over 500 customers, without any of these customers representing more than 10% of our quarterly revenue. Internet Data Center revenue was 5.7%, which was an increase of 9.2% in the prior quarter. Furthermore, 56.7% of our revenues came from the U.S. and 55.8% from our distributors and resellers. Slide 10 and 11.  Non-GAAP gross profit was 42.8 million, up 6.1% from 40.4 million in the same quarter of last year and up 7.5% from 39.8 million sequentially.  On a percentage basis, gross margin was 17.1% up from 16.8% a year ago and up from 16.1% sequentially. Price changes from (Able Com) resulted in no change to gross profit in the quarter with total purchases representing approximately 18.5% of total cost of goods sold compared to 23.1% a year ago and 18% sequentially. A year-over-year increase in gross margin resulted from increase in sales of Server Solutions, which typically have higher margins as well as a the higher margins due to our disk drive pricing.  Sequentially, gross margins were up due primarily to increases in prices of our disk drive cost caused by the Thailand flood as well as increase in percent of Service Solutions, which typically have higher margins. Slide 12.  Operating expenses were 26.6 million, up from 21.6 million in the same quarter a year ago and up from 24 million sequentially.  As a percentage of revenue, operating expenses was 10.6% up from 9% year over year and 9.7% sequentially.  Operating expenses was higher on an absolute dollar basis year over year and sequentially. A year-over-year increase was primarily due to R&D as we continued to invest in our product portfolio assessing preparation for the Sandy Bridge launch.  Sequentially, we saw an increase of operating expenses of about 2.6 million, primarily due to R&D expense growth by about 1.8 million related to [inaudible] benefits to support new technology launches. In addition, general and administrative expenses grew by about 600,000, primarily due to moving expenses. The company’s headcount increased by 57 sequentially to 1,395 total employees, primarily R&D. Operating profits was 16.2 million or 6.5% of revenue, down from 2.5 million or 13.5% from 18.8 million a year ago and up 0.4 million or 2.4% from 15.8 million sequentially. Our first building in Taiwan was completed on schedule at the end of December.  This expense will drive our ability to service our customers and improve our operational efficiencies around the world. Net income was 11.2 million or 4.5% of revenues, down 2.2 million or 16.3% from 13.3 million a year ago and up 0.7 million or 6.5% from 10.5 million sequentially. Our non-GAAP fully-diluted EPS was $0.25 per share, down $0.06 from $0.31 per share a year ago and up $0.01 from $0.24 per share sequentially.  The number of fully diluted shares used in this second quarter was 44, 625,000. The tax rate in the second quarter one an on-GAAP basis was 30.5% compared to 20.3% a year ago and 33.1% sequentially.  The increase in tax rate from the prior year was primarily due to the R&D credit expiring on December 31st, 2011.  The decrease in the current quarter from the prior quarter was due to an increase in investment in R&D. We expect the expected tax rate on a non-GAAP basis to be approximately 31.5% for the March quarter, which is higher than 28.3% in the same quarter last year. Turing to the balance sheet on a sequential basis, Slide 13.  Cash and cash equivalent and short and long-term investments were 106.1 million, up 10.1 million from 96 million in the prior quarter, and up 13.4 million for 92.7 million in the same quarter last year. In the second quarter, free cash flow was positive 4.4 million.  Slide 14. Accounts receivable decreased by 7.7 million to 8.1 million with DSOs was 31 days, a decrease of one day from the prior quarter.  Inventories increased by 4.4 million to 93.4 million with the days in inventory increasing by one day to 85 days.  The increase in inventory was due in part to prepare for the upcoming Sandy Bridge launch. Accounts payable decreased by 7.7 million to 115.9 million with the day sales increasing by one day to 53 days primarily due to the timing of payments to vendors. Overall, the cash from virgin cycle days were 63 days, a decrease of one day from 64 days in the prior quarter. Now for it’s few comments and outlook.  As indicated previously, during the second quarter, we felt strength in our broad product line.  We have continued our sampling and pre-sale activity for Sandy Bridge Solutions, which are very complicated but promise to deliver many benefits to our customers.  However, while our demand for our product was strong, we were unable to deliver due to the shortage of hard disk drives caused by the Thailand flood. So as we enter the March quarter, which is seasonally a week quarter for the industry, we have strong demand as evidenced by current backlog and we are continuing to work with our vendors and partners to minimize the impact to our hard disk drive supply.  The situation has improved since October 2011 when the flood occurred. In addition, we completed construction of our Taiwan facilities and had our grand opening on January 6th.  We will be starting to ramp the facility and putting inventory in place to support the final testing and capabilities. Therefore, the company currently expects net sales in the quarter ending March 31, 2012 in a range of 240 to 270 million.  Assuming this revenue range, the company expects non-GAAP earnings per diluted share of approximately $0.19 to $0.27 for the fourth quarter.  It is currently expected that the outlook will not be updated until the release of the company’s next quarterly earnings announcement, notwithstanding subsequent developments; however, the company may update the outlook or any portions thereof at any time. With that, let me turn it back to Charles for some closing remarks.
Charles Liang: Thank you, Howard.  In summary, the strong demand from our customer [inaudible] to be closer to market and to demonstrate the power of our brand as technology innovators.  We [inaudible] and logistics are fully ready and we feel the upcoming Sandy Bridge [inaudible].  Our investment has almost come to fruition.  Calendar 2012 will be the year of technology to Sandy Bridge and Super Micro is ready for a challenge and the opportunity. Operator, at this time, we are ready for questions.
Operator: (Operator instructions).  And we’ll go first to Mark Kelleher with Dougherty and Company.
Mark Kelleher: Great, thanks for taking the questions.  I wanted to start with the hard disk drive shortage.  What are you doing with your suppliers to secure that supply?  I'm interested in what steps you’re looking at and maybe the tradeoff between buying a higher-priced inventory and passing that along.  And do you think – would that hard disc drive shortage in this quarter and the next quarter get in the way of the Romley launch?  Is that going to limit what you can do with that Romley launch?
Charles Liang: Thank you for the question.  Indeed, we saw a completed season about four years ago, so our hard drive relationship with Apia [inaudible] compare with our PO and competitors.  However, that relationship has been improving a gradually especially in the last couple months.  So we do feel our situation in [inaudible] hard drive is improved today.  It’s much better than December timeframe.  So we see that improvement, and we will continue to work on that.  So for [inaudible] launch, I believe we will be in safe position.
Operator: Anything additional, Mr. Kelleher?  I'm hearing no response.  (Operator instructions).  We’ll move next to Glenn Hanus with Needham and Company.
Glenn Hanus: Yes, good afternoon guys.  So you have guided a pretty wide range for revenues and EPS.  Should I assume that the primary reason for the wide range is the drive situation?  And should I assume that you would be towards the upper end of that range if drive supply works out well for you, that that’s more a reflection of the demand?
Charles Liang: Yes, the reason why we over the range is because of hard drive deal and not visible.  But again, that’s [inaudible].  Spaces today, we feel much better than December timeframe.
Glenn Hanus: So can you address the rest of my question?
Howard Hideshima: Glenn, like I said, I think what we would say is the demand is strong.  The backlog is strong, so clearly as Charles mentioned, we’re building our relationships to hard disk drives and we feel it’s better.  But again, the wider range is due to the hard disk drive.
Glenn Hanus: Do you have a sense of sort of a timeframe when you feel like it would more or less be maybe some impact this quarter?  How are you feeling about as you look out sort of towards the June quarter?
Charles Liang: As of this moment, we feel the hard drive condition will be slightly better than December quarter.  And again, because of the unknown factor, we are not just sure.  That’s why I give a nodule rate.
Glenn Hanus: Okay, I’ll hold it to one question and circle back.  Thank you.
Operator: (Operator Instructions).  We’ll move next to Dan (Doliff) with Morgan Stanley.
Dan (Doliff): Just a quick question.  Can you please comment on server demand in the previous quarter?  And in the coming quarter, any trends that you’re seeing or anything that you could  shed some light on?  Thank you.
Charles Liang: December quarter indeed, we’ve seen a very strong demand, and that’s why we have big backorders.  But because of hard drive supply was not efficient.  That’s why we did not ship it that much.  However, March quarter, I mean this quarter because Sandy Bridge will be in full production.  So we see a strong demand there, and we believe for this quarter will be at least slightly better than our December quarter.
Dan Doliff: Thank you very much.
Operator: And we’ll move next to Matt Nahorski with Stifel Nicolaus.
Matt Nahorski: Hi, guys, a quick question for you around the internet data center verticals.  Could you talk about some of the trends that you’re seeing there as well as how that bakes into your guidance going forward?  I mean do you  continue to see kind of a lumpiness in the revenue stream there?  And just any comments around that would be helpful.  Thanks.
Howard Hideshima: Matt, this is Howard.  Yes, we do see lumpiness.  You know, it’s a project base system, so we do see lumpiness there.  However as indicated, the Sandy Bridge product is going to be a good product.  And so we’ve got a full line of Sandy Bridge products coming out that will take the benefits of that.  That should be very appealing to the data center as well as all the other HEC clients that we have.  So we see pretty good demand, strong demand in that area.
Operator: (Operator instructions).  We’ll take a follow up question from Glenn Hanus with Needham and Company.
Glenn Hanus: Hi, again.  So just shifting to operating expenses for a minute, it sounds like on the G&A line, you mentioned some moving expenses, so I assume that’s sort of non-recurring.  So would we expect lower G&A in the March and June quarters?
Howard Hideshima: Yes, Glenn, you’re exactly right.  We won’t incur some of those moving expense.  However, I do have some audits and tax fees that I will be paying, so you won’t see as much of a move as you saw in the previous quarter to quarter.
Glenn Hanus: Okay, but it will be lower sequentially in March?
Howard Hideshima: It will be slightly higher.
Glenn Hanus: Slightly higher, okay, and then on the R&D side, this 14ish level, should we think about that now that you’ve gotten over the hump on Romley?  That should be trending a little lower, or flattish, or how should we think about that over the next couple quarters?
Charles Liang: Yes, indeed we have higher indeed of 15% more engineering head count in the last two quarters.  That’s pretty much to meet the Sandy Bridge demand.  But now in the next two quarters, we have a pretty much our engineering manpower now, so we won’t increase that much in the near future.
Glenn Hanus: Okay, and then on the gross margin line, could you comment a little bit on how we should think about gross margins in the next couple quarters, puts and takes there?  It sounds like the drive situation actually benefitted you in the December quarter if I heard you right.  So could you talk about that?
Charles Liang: The next few quarters, yes, the hard drive quotient may be not that sexy, but Sandy Bridge put out a new product with good technology, which will help us a little bit.
Glenn Hanus: Okay, all right, thank you very much.
Operator: (Operator instructions).  We’ll take a follow-up question from Mark Kelleher with Dougherty and Company.
Mark Kelleher: Great, thanks.  I just wanted to follow up with Glenn’s question on gross margins.  Can you talk about the Taiwan facility, and how we should think about that coming online.  And what effect will that have in the March quarter and maybe further out how that should ramp up.
Charles Liang: The Taiwan operation was [inaudible] much lower than Bay Area, so eventually, we’ll be able to take that advantage.  However for March quarter, because it’s a new facility, so [inaudible].  So I will say that eventually, we’ll have it, but not immediately.
Mark Kelleher: Two quarters, June quarter help?
Charles Liang: June may have more.  September will have even more.
Mark Kelleher: Okay, thanks.
Operator: (Operator instructions).  It appears at this time, we have no further questions.  I’d like to turn the call back over to Mr. Liang for any additional and closing remarks.
Charles Liang: Thank you for joining us today.  And we look forward to talking to you again at the end of this quarter.  Thank you everyone.  Have a great day.